Operator: Good morning. My name is Chris, and I will be your conference operator today. At this time, I would like to welcome everyone to the Anixter Second Quarter 2018 Results Conference Call. Thank you. Lisa Gregory, Vice President of Investor Relations, you may begin your conference
Lisa M. Gregory - Anixter International, Inc.: Great. Thank you, Chris. Good morning, and welcome to Anixter's second quarter 2018 earnings conference call. With me here today to discuss our financial results are Bill Galvin, President and Chief Executive Officer; and Ted Dosch, Executive Vice President and CFO. Following their prepared remarks, we will open the line to take your questions. Before we begin, I want to remind everyone that we will be making forward-looking statements in today's presentation, which are subject to a number of factors that could cause actual results to differ materially from what is indicated here. We do not undertake to update these statements and refer you to our SEC filings for more information. Today's presentation includes both GAAP and non-GAAP financial results, the reconciliation of which is detailed in our earnings release and in the accompanying slide presentation that is posted on our Investor Relations website. Now, I will turn the call over to Bill.
William A. Galvin - Anixter International, Inc.: Good morning and thank you for joining us to review our second quarter 2018 financial results. As you know, this will be the first call I'll lead as CEO, as Bob has retired at the end of June. We are grateful for Bob's leadership and commitment to the company, and we will continue to benefit from his insight and knowledge of the business as he will continue to serve on the board. Turning to this morning's call. I will provide an overview of our second quarter results and share our outlook for full year sales, and I will briefly review some of my top priorities for the company. Today's remarks will reference the accompanying slide presentation that is posted on our Investor Relations website. Following the remarks, Ted will discuss our financial performance in more detail and provide additional thoughts on our outlook for the rest of the year. We will then take your questions. Turning to our financial results. As you'll see on slide 4, sales in the fourth – sales in the quarter increased by 6.8% to a quarterly record of $2.1 billion. Unless otherwise noted, all of our comparisons refer to the second quarter of 2018 versus the second quarter of 2017. Adjusting for the favorable impacts from the higher average price of copper, currency fluctuations and acquisitions, organic sales increased 4.9%. This was significantly above our projection of 2% to 3% and was the second highest organic sales growth rate in six years. As expected, our Network & Security Solutions segment returned to growth in the second quarter. The growth was broad based across all segments and geographies. As for the total business, the second quarter of 2018 GAAP earnings per diluted share was $1.02. And adjusted diluted earnings per share was $1.53, an increase of 12.5%. Adjusted EBITDA increased 4.6% to $107.8 million. Similar to the first quarter, inflationary pressures, including increased freight expense and employee benefits, primarily higher medical cost, impact profitability. To combat these pressures, we have implemented actions to drive earnings improvement, including a restructuring initiative which will result in a more competitive cost structure. Ted will review this in more detail shortly. Let me now review our sales results by segment, beginning with NSS and our recent security acquisitions. At the end of May, we completed the acquisition of three security businesses that we announced on the first quarter call. Two of the businesses are security distributors, and the third is a software company and a leader in the design and manufacture of access control and security solutions. With a purchase price of $149.9 million, these businesses have combined annual sales of $114 million and adjusted EBITDA of $20 million. Current quarter results reflect approximately one month of operations. In addition to being consistent with our strategy to pursue acquisitions that support specific solution and geographic initiatives, these acquisitions bring a leadership distribution position in the security market of Australia and New Zealand, as well as new innovative solutions that we believe will be valued by visiting customers across our geographic footprint. We are particularly excited about the opportunity to be out in front of the market on technologies that enhance our position in the connected building and in IoT. While still early, the initial response from our customers has, however, exceeded our expectations. Similar to our other recent acquisitions, synergy opportunities are primarily revenue based, creating additional cross-selling opportunities in all segments. Due to the profile of software solutions business, the overall business has an attractive margin profile and is accretive to our financial position. Please prefer to slide 29 in today's presentation for additional detail. As shown on slide 7, NSS quarterly sales of $1.1 billion increased by 6.5%. Adjusting for the $6.3 million favorable impact from currency fluctuations and the $11.5 million favorable impact from our recent acquisitions, NSS organic sales increased 4.7%. Growth was broad based with 3.7% organic growth in the network infrastructure business and 5.2% organic growth in the security business and reflected growth in all geographies. By region, NSS North American sales of $853 million increased 4% on an organic basis. We continued with solid growth in our mid-sized project business and had strong performance in our wireless and professional audio/video initiatives. Canada also had a strong performance in the second quarter. Consistent with the commentary on last quarter's call, large project activity recovered in the second quarter. Sales in our EMEA geography of $105 million increased 16.6% on an organic basis with very strong performance in the UK, Continental Europe and Middle East. Finally, emerging market sales of $139 million increased 1.4% on an organic basis, driven by projects in our Asia-Pacific geography. As in recent quarters, our Latin American geography, most notably Brazil, remains challenging. We experienced growth to improve in the second half of the year – we expect growth to improve in the second half of the year, driven by our complex program services business. As disclosed on our fourth quarter call in 2017, we were awarded a new five-year $50 million per year integrated supply program with an existing large customer. We expect this new program, which began to ship in late – in the second quarter to reach the annual run rate by the end of the year. Turning to our NSS security results. Sales of $461 million or approximately 42% of segment sales increased 8.4%. Reflecting broad-based growth, organic sales increased 5.2%, excluding the impact of foreign exchange rates and the recent acquisition. Moving to Electrical & Electronic Solutions on slide 8, our second quarter sales of $606 million increased 7.9%. Adjusted for the $11.6 million favorable impact of higher average copper prices and the $6 million favorable currency impact, organic sales increased 4.7%. Looking at EES by region, North American sales of $474 million increased 4.5% on an organic basis. We continue to experience strong growth in the OEM business and ongoing strength in the industrial side of the business, driven by global complex customers, including – with EPCs, oil and gas and alternative energy end users. In our EMEA geography, sales of $68 million declined slightly on an organic basis with growth in our OEM business offsetting lower sales in our industrial business caused by project delays. Finally, in our emerging markets geography, sales of $64 million increased 12.6% on an organic basis, driven by strength in Latin America. The EES business continues to be positioned for solid growth as our expanded product portfolio and ability to add value to complex projects across global markets is increasing our relevance and value to customers. Our strategic alignment with electrical suppliers is helping us to grow sales beyond our core wire and cable products in both new and legacy Anixter customers, translating into significant opportunity for business. The ability to leverage previous investments into our global footprint allows Anixter to bring a new broader solution capability to customers in local geographic global markets as well as global customers working on projects in international geographies. Finally, our Utility Power Solutions segment achieved sales of $436 million in the quarter, resulting in 5.8% growth on an organic basis as shown on slide 9. Growth was broad based with both IOU and public power customers, as well as good improvement in our Canadian business. Our strategy to broaden customers' penetration in the North American market is providing us with a broader base and strengthening our position in the utility market. However, the strength in our IOU business, which is based on long-term contracts, has price realization challenges as cost of freight and other commodities put pressure on our operating results. These are timing-based challenges and will improve throughout the year. In summary, second quarter sales performance exceeded our expectations at the beginning of the quarter, due primarily to the acceleration in NSS and ongoing strong global economic trends. In NSS, following four quarters characterized by a lower level of capital investment as customers absorb capacity and recalibrated future capital investments, our customers increased investment in large projects. In addition to the $50 million integrated supply award we have already mentioned, we have an additional new large project award on a global basis for a complex project that will ship over the next 12 months, a testament to our unique value proposition. Our current backlog, combined with a robust project pipeline, underpins our confidence that current growth trends will continue as we move through the second half of the year. In our EES segment, our sales growth strategy remains focused on complex and global supply chain projects, cross-selling opportunities resulting from recent acquisitions and organic initiatives in fast-growing and strategic parts of the business. Together with improving trends in our commercial construction business, we expect EES growth to continue in the back half of the year. Finally, in UPS, we continue to build sales with new customers, our backlog is strong and we have an active pipeline of opportunities across the business. In addition to traditional utility project sets, we are focused on selling a broader set of products and solutions including MRO, security and products that have traditionally manufactured – been manufactured direct. As we look in the second half of the year, the macroeconomic backdrop remains favorable in most of our geographies. And economic indicators as well as our pipeline reflect solid business conditions are expected to continue. While we remain optimistic that the 2017 tax reform legislation will be a catalyst for our customers to increase their capital spending, we recognize that these benefits could be tempered by increased uncertainty caused by U.S. economic policies, including the potential for new tariffs. These favorable conditions combined with strong backlog trends in all segments support our view that growth trends will continue in the second half of the year. Reflecting year-to-date organic growth of 3.3%, we are increasing our outlook for the year 2018 organic growth to the 3.5% to 5% range. We recognized the inherent uncertainty of timing of projects in markets we serve and remained focused on anticipating trends and managing our cost structure accordingly. Turning to margin on slide 10 of our presentation. Second quarter gross margins of 19.6% was flat on a sequential basis and compares with 19.8% in the year-ago quarter. The year-over-year decline in gross margin as a percent of sales was due mainly to the customer and product mix, primarily in the UPS segment which I mentioned earlier. The sequential trend highlights the focus on stabilizing and improving gross margin in order to offset competitive pressures in our market. We continue to implement new margin initiatives across the business. Before turning the call to Ted to review our financial results in more detail, I would like to share with you some of my priorities for Anixter, briefly highlighting four areas: Our customer access strategy, our commitment to technology and innovation, our focus on improving the profitability of the business and capital allocation philosophy. First, the customer access model reflects our commitment to providing our customers with the capability to access all our solutions and the expertise required to support these solutions through their current selling organizations. This results in a simpler and more efficient buying experience. As technology blurs the lines between solutions and we continue our journey to a more connected world, we provide a broad capability to support customers' needs. This customer access model keeps the engagement with Anixter simple by providing access to expertise needed to understand how all these solutions work together. Customers are able to connect with Anixter any way they choose, through electronic commerce, in a branch location or from an inside sales rep or face-to-face with a specialist that can advise on unique and specific needs across our global footprint. Second, we have always been and will continue to be committed to technology and innovation. Highly technical applications and complex deployments create ideal opportunities for Anixter. We will continue to provide and expand a broad service capability for our customers, ranging from simple project services to complex global project services and complex program solutions, which provide our customers with a significant financial and risk mitigation strategy on a global basis. Third, profitability. We are focused on delivering strong financial results. We have strategies in place to accelerate our sales growth, increase gross margin and improve our expense structure, striving to deliver strong EBITDA growth, resulting in consistent long-term performance. Finally, capital allocation. A hallmark of our model is the significant cash flow we generate and the disciplined approach to capital allocation. We remain committed to our stated policy of first investing in initiatives and strategies to drive organic growth, followed by investing in acquisitions we believe will provide a strategic benefit and meet our financial criteria and, finally, returning value to shareholders. As we return to our strategic balance sheet and credit goals, we are focused on delivering continuing value to our shareholders. With that, let me turn the call over to Ted for a more detailed analysis of our results and actions on the cost side of the business.
Theodore A. Dosch - Anixter International, Inc.: Thanks, Bill, and good morning, everyone. Before I move into the details, I want to remind you that today's earnings release includes non-GAAP measures which are reconciled to GAAP measures in the financial tables that accompany our release. We believe the non-GAAP measures we disclosed provide the best representation of our ongoing operational performance, and I will begin with a summary of these expense items. Current quarter results included operating expense of $24.2 million pre-tax and $17.1 million after-tax, primarily comprised of $9.7 million of amortization of intangible assets and $9.2 million of restructuring charge, which I will discuss shortly. Prior-year results included operating expense of $9 million pre-tax and $6.1 million after-tax of amortization of intangible assets. Excluding the impacts of the above items, second quarter 2018 adjusted earnings per diluted share increased 12.5% to $1.43 (sic) [$1.53]. All of my comments this morning including year-over-year and sequential comparisons are based on continuing operations only and on an adjusted earnings basis. Bill covered the sales and gross margins. I'll move directly to our expense trends. Operating expense of $347.8 million compares to prior-year operating expense of $313.1 million. Excluding the non-GAAP operating expense items I outlined earlier, adjusted operating expense of $323.6 million compares to $304.1 million, an increase of 6.4%. The increase was driven by inflationary pressures including freight expense and employee benefits, which was primarily higher medical expense, along with increased investment in our technology platform. Similar to the first quarter, freight expenses specifically had an unfavorable impact approximately 20 basis points on operating expense as a percent of sales. Current quarter adjusted operating expense was 15.1% of sales, which compares to 15.2%. We have initiatives in place to combat higher freight expense as well as more efforts to make our overall expense structure more competitive. We are currently projecting the operating expense in the third quarter to approximate the same percent of sales as Q2 with the investments in technology continuing at the same rate as the previous quarter. Following the integration of the Tri-Ed and Power Solutions acquisitions for the past several years, we are rationalizing certain facilities and back-office functions as we make progress towards optimizing our distribution network and improving our overall cost structure. These actions have resulted in a $9.2 million pre-tax restructuring charge in the current quarter. The majority of the restructuring relates to three areas; facility consolidation, systems integration and back-office processes which will impact approximately 3% of our global workforce. The result will be a simpler and more efficient organization with a more competitive cost structure. We estimate these actions will result in savings of approximately $2 million in the second half of 2018 and $10 million in run rate savings, once fully realized by the end of 2019. As Bill discussed, adjusted EBITDA of $107.8 million compares to $103.1 million, resulting in an adjusted EBITDA margin of 5% compared to 5.1% last year. Similar to the first quarter, we were impacted by a combination of pricing pressures on our top line and inflationary pressures on our operating expense. Let me now review adjusted EBITDA trends by segment. Beginning with NSS, as shown on slide 12 of the presentation, adjusted EBITDA of $76.1 million compares to $69.8 million, an increase of 8.8%. The corresponding adjusted EBITDA margin of 6.9% compares to 6.8%. The 10-basis-point increase was primarily driven by operating expense leverage and resulted in an adjusted EBITDA leverage of 1.4 times. On a sequential basis, we had a strong 30% increase in adjusted EBITDA, resulting in a 100-basis-point improvement in adjusted EBITDA margin, driven by a recovery in volume combined with operating expense discipline. EES adjusted EBITDA increased 23.4% to $40.4 million, resulting in a 90-basis-point improvement in adjusted EBITDA margin of 6.7%. The increase was driven by gross margin improvement, strong operating expense leverage associated with the volume increase and the benefit of higher copper prices, all resulting in strong adjusted EBITDA leverage of 3 times. On a sequential basis, EES adjusted EBITDA margin increased 60 basis points, driven by operating expense discipline. Finally, UPS adjusted EBITDA of $23.1 million compares to $25.9 million. The corresponding adjusted EBITDA margin of 5.3% compares to 6.3% in the prior-year quarter. The lower EBITDA margin was due to inflationary impacts on operating expense as well as product costs. Going forward, we expect these issues to diminish as we make progress with passing these costs through to customers. On a sequential basis, UPS adjusted EBITDA margin increased 10 basis points. Moving, now, to the income statement, interest expense of $19 million compares to $17.9 million with the increase due to the impact of the acquisitions, partially offset by the repayment of the Canadian term loan in full in the fourth quarter of 2017. We expect interest expense of approximately $19 million per quarter for the remainder of the year. Foreign Exchange and other expense of $3.3 million compares to $900,000. The increase in expense was caused by the unfavorable impact of changes in foreign exchange rates, primarily driven by Canada, Argentina and euro-denominated countries. Turning to taxes, our second quarter 2018 U.S. GAAP effective tax rate of 29% compares to 37.2%. And on an adjusted basis, our second quarter ETR of 29.1% compares to 36.6%. The year-to-date GAAP ETR is 29.4%, which includes a $1.2 million net tax benefit primarily related to the reversal of valuation allowances. Excluding the net tax benefit, the projected full year ETR is 30.7%, which compares to the 2017 full year ETR of 54.1%. The projected full year non-GAAP ETR of 28.8% for 2018 compares to 37.8% for 2017. The favorable rate changes are due primarily to the impact of the Tax Cuts and Jobs Act of 2017. Our diluted share count is 34.1 million shares, which should remain relatively flat over the balance of the year. Turning to slide 15, our working capital ratio of 17.8%, which excludes the current portion of long-term debt, compares to 18.5% in the prior-year quarter, reflecting ongoing focus of working capital efficiency. We continue to drive improvements in our working capital processes to enable an even more efficient use of our balance sheet. Year-to-date, we've generated $69 million in cash from operations. In the prior-year period, we generated $137 million. The change was primarily due to an increase in our working capital to support growth in the business. We continue to expect to generate cash flow from operations of $180 million to $200 million for the full year 2018. Finally, in addition to investing $149.9 million in the acquisitions, we invested $24.5 million in capital expenditures in the first half of 2018 compared to $20.8 million in the first half of 2017. We now expect to invest $50 million to $60 million in CapEx in 2018, with the year-over-year increase primarily due to increased investment in systems and technology. Turning to slide 16, our second quarter 2018 debt-to-capital ratio of 47% compares to 46.1% at year-end 2017 and remains within our target range 45% to 50%. Our debt-to-adjusted EBITDA ratio of 3.3 times compares to 3.1 times at year-end 2017, slightly above our 3.0 times target. Both of these metrics reflect the impact of the Q2 acquisitions. Our weighted average cost of borrowed capital of 5.1% is flat compared to the prior-year quarter, and our liquidity position remained strong with total available liquidity under revolving lines of credits and security counts receivable and inventory facilities of $631 million at the end of the quarter. Turning to our outlook for sales growth. As Bill indicated, we've increased our outlook range for full year organic growth to the 3.5% to 5% range, which is a 150-basis-point increase from the low end of the range. Based on current trends in the business through the first three weeks of July, we are estimating third quarter 2018 organic growth to be in the 4% to 5% range with growth expected in all segments. To help with your modeling, I will provide our estimates for the impact of the acquisitions, copper and currency on third quarter and full year 2018 sales as detailed on slide 19 of today's presentation. Based on our current projections, we expect sales from the acquired businesses of $25 million to $30 million in the third quarter and $60 million to $70 million for the full year. Based on recent copper prices, we estimate an unfavorable sales impact of $5 million to $10 million in the third quarter and a favorable $5 million to $10 million sales impact for the full year. As a reminder, the average copper price is $2.58 per pound in the second quarter of 2017 and $2.80 for the full year of 2017. With the current price of approximately $2.80 a pound, we project the full year average price to be approximately $2.90. Based on the current value of the U.S. dollar against other currencies, we estimate a third quarter headwind of $15 million to $20 million. We had a favorable impact in the first half of the year. But at current rates, we expect a flat to somewhat negative impact in the second half of the year, resulting in a full year benefit of only $5 million to $10 million. Finally, because it is of interest to all of us, let me comment briefly on the issue of tariffs, which is still a developing issue as evidenced by the news just in the last 24 hours. To date, tariffs have had little impact. Most likely though, the impact of tariffs will be reflected in the supplier price increases beginning in Q3 which we will pass through to our customers. We are continuing to monitor the issues and take actions to ensure that we're able to mitigate any unfavorable impact on our business. Looking at the quarter overall. We were pleased to deliver strong sales growth while stabilizing gross margin on a sequential basis. With actions underway to improve our gross margin, we're optimistic that our margin trend will improve as we move through the second half and into 2019. Regarding our operating expense, we faced similar challenges at the first quarter from higher freight expense. Additionally, we incurred higher operating expense related to ongoing technology investment and expect to continue to invest in our systems and supply chain capabilities going forward to support growth and innovation in the business. Our strategy is to focus on delivering our growth goals while improving profitability which will enable us to deliver on the significant operating cash flow potential of our business. With that, we'll now open the call for questions.
Operator: Your first question comes from Shawn Harrison of Longbow Research. Your line is open.
Shawn M. Harrison - Longbow Research LLC: My first question. I really just want to – Ted, if possible, thinking about the OpEx dollars, looking at the third quarter, maybe you could break out how much of the inflation you're going to see if maybe $20 million year-over-year is freight versus medical versus M&A versus the technology investments you're making.
Theodore A. Dosch - Anixter International, Inc.: Yes. Let me just – using Q2 as an example and break it out into three buckets for you and they're each about 1/3, 1/3 and 1/3 with the freight expenses being about 1/3 of that increase, volume-related variable expenses being about 1/3 of that increase and the other 1/3 is primarily from these additional technology investments and the higher medical benefits. I would expect probably similar kind of comparison in Q3.
Shawn M. Harrison - Longbow Research LLC: And with the acquisition, is the OpEx profile similar to Anixter in terms of just the percentage of sales?
Theodore A. Dosch - Anixter International, Inc.: It's slightly higher. But considering the size of the business, that won't skew the overall percentage.
Shawn M. Harrison - Longbow Research LLC: Okay. And then, I know the conversation for the past couple of quarters has been on pipeline conversion into backlog into actual billings. Obviously, you're seeing some acceleration of that with the improved guidance. But maybe you could just speak to how that conversion – is it going to – do you see it even improving further here in the back half of the year from pipeline to actual backlog?
William A. Galvin - Anixter International, Inc.: Yeah, Shawn. It's Bill. I would say that the rate of conversion is similar, but the trend continues to improve. So, as we're tracking backlog and pipeline, our outlook then says we expect that to continue. So, as the time progresses, we're converging that into revenue, and I expect that same rate of conversion to continue.
Shawn M. Harrison - Longbow Research LLC: Okay. Thank you.
Operator: Your next question comes from David Manthey of Baird. Your line is open.
David J. Manthey - Robert W. Baird & Co., Inc.: Hi. Good morning, all. First off, Bill, when you look through your priorities, I think number three was profitability and you said your goal was to accelerate sales and increase gross margin, leading to strong EBITDA. Could you give us some more detail on how you plan to accelerate sales and improve gross margin?
William A. Galvin - Anixter International, Inc.: Yes. Sure, David. I think it's a long conversation, right? There's many aspects to that, but I also mentioned in the first one this customer access model. So, one way is to take all the available solutions that we have and bring that to every customer. So, establishing an efficient sales model that we can bring security solutions into utilities and wireless technology into the electrical – different markets, that to me is a big opportunity for us. And the more efficient we get at that, the more we'll be able to exceed what I would consider as normal market growth. So, that's one thing. There are other areas, like I mentioned, on the acquisition. Just that the new software that we have, now, access to, software and solutions in access control and intrusion, gives us the opportunity then to take and expand that into other markets, as well as things like utilities. So, we have a very strong utility business now with the acquisitions in North America. The opportunity to leverage our global footprint to bring this same kind of value propositions to customers around the world gives us a unique opportunity. Then, you take those sales opportunities for growth to exceed what the market grows, and then, we're considering – we're continuing to look at operational efficiencies that drive us better growth with better return on that growth. So, we have focuses up and down all of that expense control, revenue growth, margin improvement, and the end result, of course, is driving much more – better improvement over EBITDA on a consistent basis.
David J. Manthey - Robert W. Baird & Co., Inc.: Okay. Thanks for that. It sounds like cross-selling is a major focus for you. But in addition, as you look down the segments and the sub segments of the company, are there any areas, specifically, of the business that are big enough and growthy enough in and of themselves to move the needle overall for the company? I mean, you mentioned normal market growth. And I'm just wondering if, as you look at the segments of the business, are there any of the major categories that you're more excited about in terms of your ability to outgrow the market?
William A. Galvin - Anixter International, Inc.: Yeah. Again, the fact that we have this global footprint and taking things like the OEM business – and we mentioned it's been strong performance in OEM and it's really a service-based solution, right? So, leveraging our current footprint to invest and grow in that gives us a unique opportunity. So, I'm really excited about that. I'm excited about our ability to leverage all the new solution sets we've picked up on the HD Supply acquisition in commercial construction to leverage that into not just commercial construction opportunities, but industrial opportunities. And then, the ongoing expansion of our wireless business and AV business, which I've mentioned a few times, David, is a great opportunity. It's such a fragmented market. The opportunity to consolidate that and support customers in this changing technology – and I keep going back to how technology is blurring the lines. You can't just run a business anymore and say it's all electrical. Electrical is being controlled by communication devices, and we have to remain nimble and run an organization that we can leverage all of those solutions into the types of customers we're calling on. So, we call on such a broad market of vertical – different vertical companies and installers who (36:04) support those that bringing all of that to this new world of emerging technology gives us unique opportunity. So, I'm kind of excited about that. And then, of course, I know you've been talking to folks and hearing 5G. Things like that and IoT will continue to drive investment.
Theodore A. Dosch - Anixter International, Inc.: The other thing I would add to that Dave is UPS. UPS once again had the highest growth rate – the highest organic growth rate of our three segments. We continue to see that fueled by, I'll say, three primary reasons: one is expanded product sets with existing customers; two is taking on and winning contracts with new customers; and, third, penetrating into product categories that had traditionally been manufacturer direct. The combination of those three, we believe, will continue to allow us to grow this business at a rate greater than market growth for the segment.
David J. Manthey - Robert W. Baird & Co., Inc.: Okay. Thank you. And if I could, just one more in here, Bill, are there any changes to your incentive program relative to Bob's targets as CEO that were outlined in the proxy?
William A. Galvin - Anixter International, Inc.: It's probably early to tell at this point, David. I think there are some focuses – you're talking about the executive comp or you're talking about field compensation strategies? Just want to make sure I understand the question.
David J. Manthey - Robert W. Baird & Co., Inc.: What you specifically are compensated on?
William A. Galvin - Anixter International, Inc.: No, there's no relative difference to what Bob had.
Theodore A. Dosch - Anixter International, Inc.: (37:39) the metrics being used as well as the targets that are set for, certainly, the balance of this year is the same as what was approved by the board back at the beginning of the year for each of the named executive officers.
David J. Manthey - Robert W. Baird & Co., Inc.: Got it. Thank you.
Operator: Your next question comes from Ted Wheeler of Wheeler Capital (38:03). Your line is open.
Unknown Speaker: Can you hear me all right?
William A. Galvin - Anixter International, Inc.: Yes, yes. Good morning, Ted (38:11).
Unknown Speaker: Okay. Good. As you intensify this and analyze the cross-selling opportunities, I wonder how you see the competitive landscape. In other words, are there people kind of executing this concept today? Are you bumping up against new competitors? Just wonder if you could give some color on what you see there.
William A. Galvin - Anixter International, Inc.: If you look at the individual opportunity, Ted (38:37), you'd say, yeah, we're coming up against new competitors as we expand kind of our reach across all these solutions. The reality is we're not coming up against to a lot of competitors that expand all of it. So, the leverage you have is – if we're talking to a customer who dealt with five different solution for buyers for all of these technologies, they're now able to deal with one. So, to me, I see this breadth and depth and global presence as a leverage that will be hard to replicate by competitors. Because of the technical knowledge that's required for this, it's – again, this distribution market is so fragmented and the technology is so fragmented. That opportunity to provide customers with such a breadth and depth of technical knowledge and innovation and supply chain and all of that becomes hard to replicate globally.
Unknown Speaker: Thank you.
William A. Galvin - Anixter International, Inc.: You're welcome.
Operator: There are no further questions at this time. I will now return the call to our presenters.
William A. Galvin - Anixter International, Inc.: Great. Thank you. That concludes today's call. If you have any additional questions, please do not hesitate to reach out to Ted or Lisa. As always, thank you for listening to today's call.
Operator: This concludes today's conference call. You may now disconnect.